Operator: Good day, and welcome to presentation of Carrefour Third Quarter 2022 Analyst Call. Today's conference is being recorded. I will now hand the call over to Alexandre Bompard, Chairman and CEO; and Matthieu Malige, CFO. Please go ahead.
Alexandre Bompard: Good afternoon, everyone. Thank you for being with us today. As you know, we will meet again in a few days to talk about new strategic plan and our midterm perspectives. In the meantime and given the particle macro and business context, I wanted to be here today to exchange directly with you and the current performance of Carrefour and to answer any questions you may have. My main message is that Carrefour is outperforming the industry and is maintaining a rapid transformation pace. This is materialized by our commercial and financial performance and through the swift integration of Grupo BIG in Brazil. Let me start with our performance. Let's be clear, operating retail in this inflationary environment is complex and requires a particular mindset and high anticipation. The number of topics of magnitude to be managed by our teams in parallel is unprecedented. In this context, Carrefour's momentum is strong and it stands out in the retail sector. As a matter of fact, our H1 results show that our performance was best-in-class among European retailers based on public information. This overperformance is confirmed by the quality of the figures we are publishing today. We continue to gain market share in all our key markets starting with France. And we maintain a high level of operating performance, thanks notably to an efficient commercial strategy combined with a strong focus on costs. As a result, I can confirm that our activity is progressing to date consistently with market expectations for full year 2022 EBIT. At the same time, we are raising today our net free cash flow target for the year. These solid numbers are the direct consequence of the outstanding job done by our teams who switched to inflation management mode more than a year ago across all organization levels. Thanks to them and our capacity to adapt, we are able to protect our business model and our profitability. Let me also say a brief word on Brazil. As you all know, the acquisition of Grupo BIG and its integration represents a material value creation lever for Carrefour. So far, the integration is proceeding very smoothly. As of today, 21 BIG and Maxi stores have been converted to Carrefour and Atacadão. These stores are performing well above our initial expectations. In that context, we've decided to accelerate the conversion process, and we now plan to convert at least 50 stores by year-end versus 37 initially. And beside BIG, we have many transformation projects that we will unveil on November 8. So as you see, we are staying the course and I'm confident in the outlook for Q4. That said, I now leave the floor to Matthieu who will present in greater detail our Q3 sales performance. I will join him for the Q&A session.
Matthieu Malige: Thank you, Alexandre, and good afternoon to everyone. Before we go into details of our Q3 numbers, I would like to remind you that Carrefour Taiwan operations are now accounted for as discontinued operations in accordance with the IFRS 5 accounting standard. As a reminder, all pro forma numbers for 2021 and H1 2022 are available in the Finance section of our website. Let's start our analysis with Q3 revenue on Page 3 of the presentation. Sales for the quarter reached EUR 23.5 billion, increasing by 16.1% at constant currency. Besides the strong like-for-like performance of plus 11.3%, expansion and M&A contributed for 4.9%, mostly driven by the consolidation of Grupo BIG. Petrol contributed negatively for 0.1%. ForEx was a positive 2.9% over the quarter, primarily due to the appreciation of the Brazilian real. In total, reported revenue was up 19% in Q3. Food sales were up 12.2% like-for-like at group level over the quarter. Nonfood sales grew by 6.4%. Let's now review our different markets in more detail, starting with France on Slide 4. Like-for-like sales increased by 6.6% over the quarter with all formats posting solid growth. Food sales were up 7.8% over the quarter, largely offsetting a 2.2% drop in nonfood sales. The performance was supported by inflation, though at a lower level than in all other European countries as well as sound resilience in volumes, thanks to our strong ongoing market share dynamics. As a matter of fact, Carrefour has now been gaining share for 21 consecutive 4-week periods. It is worth noting that these market share gains were driven by volumes. In volume terms, market share is up 0.5% over the quarter versus a gain of 0.3 points in value. In line with Q2, convenience stores posted the strongest growth over the quarter, up 10.8% like-for-like, notably thanks to a strong summer season. Hypermarkets and supermarkets, which were slightly negative in H1, posted a solid performance over the quarter, respectively, up 5% and 6.3% like-for-like. Q3 was also a good quarter for online sales as GMV grew by 22%. The performance was particularly solid for home delivery, which consistently outperforms Click & Collect and where Carrefour is a strong leader in France with more than 30% market share. As announced last July, we have now completed our 2022 conversion program for 43 stores that have now switched to lease management. We recently announced a new plan for 2023, which comprises 16 hypers and 25 supers. Moving on to Europe. Like-for-like sales were up 8.6% over the quarter. Sales in Spain improved by 8.7% like-for-like. We continue to benefit from our strong exposure to hypermarkets, which are price leaders in the country, and we are gaining market shares. Over the quarter, we actually improved our price positioning against all key local players. Food sales were up 11.3% in Q3, while nonfood remained slightly positive. Our Italian business continues its recovery with a fifth consecutive quarter of positive like-for-like, reflecting improved customer satisfaction. Poland generated double-digit like-for-like revenue growth of 18.5%, thanks to a supportive business environment. We outperformed our peers across each format. Romania delivered another solid quarter with sales up 8.8%. Still, that number remains below food inflation in the country, which is one of the highest in Europe. Romania and, to a lesser extent, Spain are the 2 markets where wages have increased less than food inflation, which definitely drove more trading down than in other geographies. One specific word about Belgium, which, as you all know, has been facing some difficulties for a year now. We definitely saw some improvement in Q3 with positive like-for-like growth of 5.2% and a stabilization of our market share, which had been under pressure for 4 consecutive quarters. Competition remains quite fierce in the country, but we are definitely going in the right direction under the new local management team. In total, sales in Europe were up 8.6% like-for-like in Q3. As you can see on Slide 6, we remain very positive momentum in Latin America, both in Brazil and Argentina. Our sales in Brazil increased by 41% in Q3 at constant exchange rate or 11.5% on a like-for-like basis. The increase was driven by -- this quarter by Carrefour Retail, up 15% like-for-like, driven by solid volumes and food sales. Carrefour Retail is benefiting from its reinforced positioning on its segment. Like-for-like sales growth at Atacadão reached 10.5%. The period was marked by a sharp sequential decrease in the price of some commodities and basic products, notably milk and soy oil, mainly in September. This change impacted volumes, especially for B2B clients that postponed some of their purchases, betting on lower future prices. First days of October are showing some improvement. Finally, Argentina maintained its outstanding performance with record market share gains in Q3 and a solid growth in volume on top of high inflation, supporting a 91% like-for-like in premium sales. Besides day-to-day operations, our key focus today in Brazil is obviously the integration of Grupo BIG. As Alexandre said, we are clearly ahead of schedule on this, notably on conversions. The converted stores actually deliver much better performances than anticipated, which comforted us in our decision to speed up the conversion process. In parallel, we recently signed agreements to sell the 14 stores that have been identified as remedies by the local antitrust authority for a total consideration of BRL 443 million. So overall, this was a very satisfactory quarter for Carrefour. Although the environment is uncertain, we are confident in the outlook for Q4. Thank you for your attention. Alexandre and I are happy to take your questions.
Operator: [Operator Instructions] We will take our first question from Sreedhar Mahamkali from UBS London.
Sreedhar Mahamkali: A couple of them, please. Firstly, on free cash flow, Matthieu. Can you clarify if the change in the outlook means we should expect something similar to FY '21, about EUR 1.2 billion? I think the language is very similar in Q3 '21 when you raised the outlook to comfortably about EUR 1 billion. That's the first question. Secondly, Alexandre, you talked about changing consumer behavior. Clearly, we're also seeing meaningful OpEx inflation. I'll be very interested in your thoughts on how those will evolve into 2023? and if you think consensus EBIT expectations for 2023 reflect those appropriately to the extent you can comment on that will be greatly appreciated. Those are the 2 questions.
Matthieu Malige: So on net free cash flow expectation for the year, we were saying earlier in the year that we were expecting at least EUR 1 billion. And as you rightly noticed, we now expect to be comfortably above EUR 1 billion. And you're right, this is the same language as we had last year when we also increased our guidance for the year.
Alexandre Bompard: On your second question about the change in consumption in Europe, what we see is a change in consumer habits in Q3, characterized by your smaller baskets on more frequency of purchase translating into more tickets. And in the meantime, volumes are actually holding up quite well. So you have this 2 phenomenon, change of consumer habits, but in the meantime, volume still very resilient. Considering the first thing about the trading down for us, we are well positioned to perfectly match this trading down, thanks to the level of our private label penetration, which is now close to 33%, thanks to the strong development of our entry range of products under the simple level. We have around 1,000 products now. And thanks to all the commercial dynamic we have with promotion, loyalty programs and the quality of our format, which are linked to competitive hypermarket cash and carry [indiscernible]. We are expecting this trend to continue in Q4, which means a continuation of the trading down and the continuation of solid volume. When inflation rising further, as Matthieu said, in some geographies such as Romania or Spain, that could be the beginning of an impact on volume. But generally, we do think that the volume would -- will remain quite stable and the trading down would, in the meantime, continue. So that's what we see in terms of change in the consumption pattern.
Sreedhar Mahamkali: And OpEx inflation and your very early thoughts, if any, on 2023 EBIT consensus and if that reflects these trends that you're seeing today?
Alexandre Bompard: No, we don't communicate, at this moment, the vision of the EBIT 2023. But what we do think is that inflation would continue in 2023. We have, of course, energy, wages and so on. And what we are convinced and we proved that this year in an outstanding way is that we are absolutely well equipped to adapt to this inflationary environment. We have the good format. We have the good commercial monitoring. We have the high level of cost savings. We have great experience of this inflationary environment due to our long-term presence in Latin America. So all in all, we will have inflation. But in this inflationary environment, we are capable to outperform the market, and that's what we want to continue to prove in the next quarters.
Operator: We will now take our next question from Andrew Gwynn from BNP Paribas.
Andrew Gwynn: Two questions, if I can. So firstly, just help us get expectations in the right place for the CMD in a few days. I'm just wondering if you could give us a couple of things of what we might expect. By the sound of it, no guidance for 2023, but any kind of color there would be useful. And secondly, a very familiar question, unfortunately, but just help us understand where you see markets? I mean, Belgium has obviously been a very, very competitive market. Any evidence of that turning the corner? And then thinking about, say, France and in Brazil, actually, how rational do you think the market is?
Alexandre Bompard: Well, for the CMD, you have to be patient. I hear the excitement in your question, Andrew. Happy to hear that. Please be patient another 2 weeks and we'll all be very happy to see you on November 8. And for the pricing landscape what we think and what we said from the beginning of the inflation wave is that we have always considered and said that we expect the industry to be rational. This has been confirmed since in roughly every market we operate, except, and you're right to mention Belgium, but in the rest of our markets, all players are progressively increasing prices and passing inflation on to customers. Of course, it can be a different pace depending on players. But at the end of the day, there is no alternative for any player. This is true for France, for Spain, for Italy, for all our geography. And in Brazil, the situation is quite different because they are more used to inflation, and we are a very, very, very strong leader in this country. But we see this, for a long time, this same rationality. At the end of the end, when you have this level of inflation, every player is obliged to pass inflation on to customers and that's what we are doing.
Andrew Gwynn: So just coming back to Belgium, any evidence of a change in fortune sense presumably still very tough.
Alexandre Bompard: No. We've spoken about Belgium a lot in the past. You've seen the communication of 1 competitor. What is very interesting to mention is that we have come back to a positive like-for-like. It proves that we have a good momentum due to the new managerial team that has taken the lead for a few weeks with great energy. As you know, we were affected at H2 last year by the difficulties of the market and by the problem of logistics we have with third-party warehouses, which means that we have a better comp for H2. So we have a better comp and we have a better momentum. Market share are more positive and that's why you see this 5% growth. And we do think that the team would continue the very good job they are doing with the new management.
Andrew Gwynn: Okay, thanks very much. Look forward to seeing you and Matthieu.
Operator: We will now take our next question from Nicolas Champ from Barclays.
Nicolas Champ: I have 2. You raised your free cash flow guidance, but could you let us know if you also raised your CapEx guidance for this year, given the increased number of converted big stores? And if yes, could you please share with us your new CapEx number? The second question is also the original is could you please tell us if you feel comfortable with the current EBIT consensus for this year, which is, I think, slightly below EUR 2.4 billion at the EBIT level again? And maybe a last one, also a pretty classic question. Do you still expect to maintain your EBIT margin in France as stable for the full year as it was already the case in H1?
Matthieu Malige: Thank you, Nicolas. On CapEx, we've not changed our number, EUR 1,850,000,000 is the target. We said that we would have an additional and somehow exceptional EUR 150 million relating to the conversion and integration of Grupo BIG. We may be a little ahead of that, given the accelerated pace but it doesn't change the total group number. On your second question, I think relating to the consensus for operating income for 2022. Without flagging a specific number, I think Alexandre commented in his introduction that the full year EBIT consensus, excluding Taiwan, is consistent with the current trend of the business. And then on France, well, we're not going to get into detail on a country-by-country basis. What you hear today is that France is performing well. There's obviously a few more weeks and important weeks for business ahead of us, but the performance is quite good. As you saw in the numbers, notably as when we look at the market shares and in particular, in volume terms. In parallel to that, the cost savings dynamics in France is still very strong. That's part of the EUR 1 billion of cost savings for the group for the year that we are confirming today. So I think that's the dynamics.
Operator: We will now take the next question from Clement Genelot with Bryan Garnier.
Clement Genelot: Maybe 2 from my side. The first 1 is on wages. Can you elaborate a bit more on the wage inflation already seen year-to-date across your markets and what we should expect for next year? And the second question is rather on inflation. As far as France are concerned, we should enter into annual negotiations period. So what do you expect along that front? I mean, should we see another huge wave of price increases? Or maybe that's bulk of it has already been seen this year?
Alexandre Bompard: Thank you for your 2 questions. So first question about wage inflation. So I would say, of course, there's a trend of increase of the wage in all the industry and all the European countries, but we see different situation across countries in Carrefour. In France, we just negotiated a new increase of [ 2.5 ] with unions, and this will be applicable as of November and brings the total since November 1 last year to [ 5.3 ]. In Spain, a wage increase are limited for 2022 and there is discussion for next year and it's a permanent discussion. In other European countries like Belgium or Central Europe, minimum wages are set by the local authorities and we have to adjust. So you see, I would say, the constant discussion. There could be different rules according to the countries and to the state of minimum wages. But for the moment, we manage to have a high-quality dialogue with the trade unions. And they are aware of the fact that we have both to help our teams that, of course, are affected by inflation, but in the meantime, maintain a high level of competitiveness. On your second question, it's very difficult to talk about annual negotiation. I negotiate every day now, so you have no [fear] Negotiation is constant and permanent since the beginning of the year in France as it is in the other European countries. So the idea of annual negotiation in France doesn't exist anymore for me with this level of inflation. We negotiate and our team negotiates very regularly with our suppliers. You've probably seen that we have decided to modify a little bit our organization for purchasing. We have decided for the global FMCG industrial, the main industrial to massify our purchases at European level, with a new purchasing office called [indiscernible] based in Spain. And they would lead the negotiation with large group next year. And in the meantime, French SMEs and the [indiscernible] would continue to negotiate directly with Carrefour France. The result would be a single contract and a single administrative process for orders. So we have decided to massify in Europe for the main global and to be more local for the rest of the industry. And we do think that it would improve again our competitiveness and our capabilities to have a positive discussion with our main suppliers.
Operator: [Foreign Language] Fabienne Caron, Kepler.
Fabienne Caron: Three quick ones from my side. The first 1 would be, if we increase the -- in France, if we include the new stores that you announced to pass under lease management in hypermarket and supermarket, including those stores, how many stores in percentage would then be under franchisee and lease management, if we look at hypermarket and supermarket in France separately? It would be my first question. The second question will be regarding consumer behavior. Within the quarter, did you see some difference if you look at July, August and September regarding mainly trading down? And do you see some change maybe in October or any comments you would like to make in October? And my last question would be on the share of private label in France. You say you're well positioned to face trading down, but I saw some counter data saying that your private label share in France was below some of your peers. So I was wondering, when do you plan to do a catch-up compared to some of your peers on private label penetration in FMCG?
Alexandre Bompard: Thank you, Fabienne, for this serious questions. So let's begin with the management. I'm sure you remember that 3 years ago, the share of stores under the on this management was below 50% for supermarket and 15% for hypermarket. What is the situation today to the last announcement? More than 2/3 of our supermarkets are under the franchise model. And concerning hypermarkets, around 30% of the network is under franchise or lease management. Second question, do you -- do we see something new in October? I think I've already answered this question. We see the continuation of the trading down and the maintain of [resilience]  volume. So trading down continues with transfer to private label with all what you know about trading down. In the meantime, we don't see any decrease of volume. On the contrary, I would say, volume in France due to better comps are better than in H1. So we don't see any change in October, volume remains solid and stable. About private label. As you know, it's a big battle we are leading for 4 years. It's something for us absolutely key in the transformation of the group. One of the best decisions we've taken with Carrefour 2022 was to launch this battle about private brand. Of course, we didn't know about this context of inflation, but it's absolutely necessary for us to up this performance in private label. We are good, I would say, quite in everything. We have built this entry price range simple, which is 5% under discount players with 1,000 products and very attractive for the customers who suffer from the price range constraint and we are capable in the meantime to have a premium rent with Carrefour and so on. So we are present with a complete comprehensive range of products. We accelerate. We are gaining market share for a few years on that, and we will continue to do. And it's absolutely a key element of our strategy. And in the meantime, of course, we work on the visibility, on the availability of these products in our stores. All this comprehensive program contribute to the fact that in 4 years, we have been capable to pass from 23% to 33% of our revenue linked to [indiscernible].
Operator: We will now take the next question from Xavier Le Mené from Bank of America.
Xavier Le Mené: Three, if I may. The first one, just on Italy and Belgium, where you've got quite, I would say, brand new teams managing the businesses. Can you just elaborate a bit more on the initiatives that they put in place and where you're seeing the best tractions with these initiatives? So is it about cost? Is it about price investment? Just want to understand a bit more what is happening there. The second one, can you just comment the nonfood sales. So I know you provided us with some numbers, and it sounds like the nonfood sales have been quite resilient, but do you expect that to continue? Or do you see some risk going forward with nonfood? And the last one, potentially, I'm back to what was asked already but I know it's difficult to comment 2023. But so far, you're commenting volumes which are holding pretty well in all geographies. Are you concerned that with inflation increasing, getting inflation on the top of inflation in 2023, that volumes could potentially be at risk?
Alexandre Bompard: Thank you for your questions. The first one, so we have the same management team in Italy for now, I think, 2 years or a little more with [indiscernible] He's doing a very good job. In 5 periods in a row, we are positive. The situation was very difficult. It's a very complete comprehensive program, long-term program with swing with investments in competitiveness with the strong development of franchise. And even if the market remains very competitive, we see a better trend that is very positive and we can we think we are going to continue with this trend. In very recent because the new management team in August. As you know, the situation was very difficult. We [lost] EUR 60 million by February, at the first semester. So it's an emergency program, a new management team, a big focus on the quality of execution, big focus on the question of supply chain. As you remember, we had a mutual event last year at the second H2. So it's -- of course, it's renewed. But the performance we reported this quarter is [a sign] in August and September that things are positive and we see great energy in the country, which is very positive. On your second question on nonfood, that would be very long. You know when -- of course, the nonfood market, you know that the tension is strong in this market. We have correct performance. We outperformed our competitors on that but the market remains difficult. The teams are very cautious about the level of stock we have on nonfood and which we manage that back well. But the commercial dynamic is not strong in the market and for us, it's better but just correct. On your last question, I think I've already answered. We are capable, since the beginning of the inflationary environment, to combine a market share impact value but also in volume, as you see in France, for example. In this quarter, we improved more in volume than in value, 0.5 versus 0.3 It proves that we have the good commercial dynamics, so we are obsessed by this level of the volume and the capabilities we have to gain market share in our geographies in terms of volume.
Operator: We will now take the next question from Rob Joyce from Goldman Sachs.
Robert Joyce: I've got 2. First one, just on the cash flow guidance. Can you give us an update on how much of a working capital inflow you're now expecting at the year-end, given the big uptick in sales? And the second 1 is just in terms of helping us understand energy costs even this year. I think in the report, we see it came out, I think, after the half year results that were up around 70% in the first half of the year. Can you help us understand how much energy cost inflation you're expecting in the second half of the year, please?
Matthieu Malige: Rob, thank you for your questions. Well, I'm not going to be very precise on cash flow. But clearly, given the inflationary environment versus last year, working cap is a positive. No surprise there. We have a number of negatives, including our increased CapEx number. So what's important is the level of comfort that we have today that we would be comfortably above EUR 1 billion. The line-by-line analysis, we will discuss it in February. On energy costs, we're close to 80% waiting for the year. So clearly, the [indiscernible] is increasing comparing to the 70%. I think it's a very mechanical translation of what we see in the market, so no big surprise.
Operator: And we will now take the next question from Nick Coulter from Citi.
Nick Coulter: Just one, if I may, please. When you say volumes are holding up, food volumes are holding up in France, are they absolute year-over-year or are they just not as negative as might be expected? Obviously, noting that your volume share in France is improving.
Alexandre Bompard: No, that's -- they are positive compared to last year. And they are more positive in Q3 compared to last year than they were in H1 because the comps are probably more favorable. So the volume are positive compared to last year.
Nick Coulter: And would you be able to give a rough quantification of what the trading down impact is? Is that 100 basis points, 200 basis points? Be interesting to get a feel for that. And then also, I guess, why do you think you're not seeing negative volumes? I was expecting to see some elasticity.
Matthieu Malige: Well, we think we have positive volumes again because we think that the commercial operations and the assortment and the attractiveness of the Carrefour proposition to the customer is attractive and probably more attractive than the commercial proposition of the market in average. We don't see trading down in terms -- when we refer to trading down, it's not in terms of volume, obviously. It's more in terms of product mix where we see that the Carrefour private label products are increasing. They were already increasing, but they're probably increasing a little faster than they were in the past. But again, no big shift. It's just a continuation. We're also making these products very available. We're working a lot on the availability as we know that these products are very key for our customers in terms of addressing their purchasing power concern. The same applies to Simpl. I think the promotions that we have as part of our promotional campaigns are also very attractive, and they have a strong success. So in our mind, trading down is more about moving to these categories. And in fresh, people would move from cheaper proteins versus more expensive protein in the past. That's the type of change in behaviors that we see. So it's more behavioral change than an evolution in any kind in volume. That's what we say that we think that the consumption is holding up quite well.
Nick Coulter: Understood. And just 1 final follow-up, if I may. Is the rest of the market, in aggregate, seeing volumes down year-over-year from the market data that you see?
Alexandre Bompard: Well, it probably obviously varies from 1 period to another. We think the market is relatively stable in terms of volume and we're positive.
Operator: We will now take the next question from James Grzinic from Jefferies.
James Grzinic: I just had a couple, both on Brazil. The first 1 is, I presume, given the accelerated integration of Grupo BIG, should we expect that the shape of synergies is brought forward as well relative to what's been shared so far? And secondly, I noted that a lot of the funding for the completion of the acquisition area this year was done locally to bridge financing. So should I be thinking that a lot of that funding would have been extinguished repaid by the end of 2023?
Matthieu Malige: Thank you, James, for your questions. So you're right. The dynamics of integration of Grupo BIG in Brazil is positive. The teams which are coming from different origins are working together very well. We're very satisfied with that. And so you're right. We accelerated the conversion and the first stores are reacting quite well. You probably saw some numbers in terms of sales pickup in the Brazilian press release that was published yesterday. It's too early to give you a picture about the pace of the synergies, its quantification. We really stick to the number that was shared, which is BRL 2 billion of additional EBITDA in 2025. No change here. We'll obviously update you when we have more visibility. But I think we thought it was important to give you a qualitative info that things are running well and accelerating as far as conversion are concerned. In terms of funding, the acquisition, which is in Brazilian real, was funded in Brazilian real in order to match the currency there. It was done locally. It was not bridge financing. It is financing which was done locally across various instruments. The majorities of these financing locally but that's the structure of the local market is shorter term than what we may be used to in Europe. But still, it's not bridge financing. It is medium-term financing, which will have to be refinanced across the years as any company does.
James Grzinic: Understood. Matthieu, I guess, if I can press on that point further. My point being, I presume that the business will be strongly free cash flow generative. So the need to refinance beyond '23 will be relatively limited. Would that be fair? Is that how you'd be thinking about the free cash flow allocation of that business there?
Matthieu Malige: Well, no specific message. We are confident we'll see. We'll see what's the cash flow, what we need to refinance, to what amount, what magnitude. So no specific plan and no specific message here. We'll see when we get there. And overall, the integration is progressing very well.
Operator: We will now take the next question from Geoffroy Michalet, ODDO BHF.
Geoffroy Michalet: Just coming back again on energy but for 2023. Energy price has softened recently, but it was not the case a few weeks before. So what could we expect for 2023?
Matthieu Malige: Well, yes, I think it's too early. I just gave you the 80% energy cost increase for this year. Obviously, there's a number of hedging that we put in place regularly. It also depends on the structures of the market. In a number of markets, the energy prices are regulated by governments totally or partially. So it's too early to give you an outlook for the inflation of energy in 2023.
Operator: And we will now take the last question from Cedric Lecasble from Stifel.
Cedric Lecasble: Yes. Just to follow up on this question. Could you remind us the global weight of energy cost in your OpEx? So that's number 1, or even in your COGS but globally for the company just to have the potential impact on bps of the energy cost on your P&L. And I have 2 questions. One on impact of trading down. Could you -- maybe we ask you this quite often, but could you guide us maybe with so different impacts on your P&L, everything altogether -- all equal, impact on gross margin, impact on EBIT margin. I would -- you have higher gross margin on private labels, not necessarily on entry prices. So what are the economics? And are you -- do you have the tools to go through this buffer through your private labels in all the markets? And the second question is just very, very quick. It's about politics in Brazil. What's the lesson of the past in -- when you had elections and political context on consumer behavior?
Alexandre Bompard: So the last 1 is the easier and I will speak about politics. The second question, you're right, we have tried to talk with you a lot about this question. If we hear by trading down the sharp development of private label. Of course, as you know, the price are lower, but in the meantime, private label usually carries higher margin, which makes the impact on the gross profit marginal. But in the meantime, and it's more structural and it's more important for us, private label drive customer loyalty. It drives customer stickiness. They enjoy great recognition and it contributes at a high level to the translation into continuous market share gains. So the move of the market from the national brand to the price brand all in all contributes for us to a better market share, more stickiness, more loyalty and so it's positive. And as we have been able, for the last 2 years, to develop decent price range for our private label, is Simpl. We are capable to attract in the meantime, new customers. And all in all, it's positive. It's particularly positive in our hypermarkets. We have not spoken a lot about hypermarket today, which is a new thing. And I regret that because I did think that we are proving, this quarter again, that this format is very resilient. So we have this 5% growth of hypermarket. It's absolutely perfectly adapted to the inflationary environment. It's adapted to the constraints of purchasing power of our customers. We continue to transfer and transform them with the lease management contracts, with the development of stable, with the reduction of assortments and so on. And they perform well, we gain market share on the very important trend we upsell for [indiscernible] now. Matthieu, on.
Matthieu Malige: On your first question, Cedric, so it clearly -- so you were asking about the weight of energy costs in our expenses, it clearly varies a lot from 1 country to another, I would say, between 10% to 20% of general expenses do represent our energy costs.
Alexandre Bompard: Thank you so much for this discussion. I think we will have a new opportunity to exchange on November 8. Take care and talk to you very, very soon. Bye-bye.
Matthieu Malige: Thank you. Good night.
Operator: Thank you for joining today's call, and you may now disconnect.